Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Exponent's First Quarter Fiscal 2013 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, Wednesday, April 17, 2013. And I would now like turn the conference over to Erica Abrams of The Blueshirt Group. Please go ahead.
Erica Abrams: Thank you. Good afternoon, ladies and gentlemen, and thank you for joining us on today's conference call to discuss Exponent's first quarter 2013 results. Please note that this call is being simultaneously webcast on the Investor Relations section of the company's corporate website at www.exponent.com/investors. This conference call is the property of Exponent, and any taping or other reproduction is expressly prohibited without Exponent's prior written consent. Joining me on the call are Paul Johnston, President and Chief Executive Officer; and Rich Schlenker, Executive Vice President and Chief Financial Officer of Exponent. Before we start, I would like to remind you that the following discussion contains forward-looking statements, including statements about Exponent's market opportunities and future financial results that involve risks and uncertainties, and that Exponent's actual results may vary materially from those discussed here. Additional information concerning factors that could cause actual results to differ from forward-looking statements can be found in Exponent's periodic filings with the SEC, including those factors discussed under the captions Factors Affecting Operating Results and Market Price of Stock in Exponent's Form 10-Q for the quarter ended March 29, 2013. The forward-looking statements and risks stated in this conference call are based on current expectations as of today, and Exponent assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now, I would like to turn the call over to Paul Johnston, President and Chief Executive Officer of Exponent. Paul, please go ahead.
Paul R. Johnston: Thank you for joining us today for our discussion of Exponent's first quarter of fiscal year 2013 results. As you know, from our first quarter press release, we posted better-than-expected performance overall. Net revenues increased 4% to $69 million. Total revenues were $72.6 million as compared to $72 million in the same period 1 year ago. Net income in the first quarter was $8 million or $0.56 per share. Our EBITDA was $14.8 million. As we discussed with you last quarter, we started the year unusually slow, but our pace picked up significantly as the quarter proceeded. We received some additional follow-on activities related to major assignments and continued to see a steady flow of new work. This resulted in revenue growth, solid utilization and better-than-expected EBITDA margin. In Defense Technology Development, product sales were down year-over-year, while the remainder of the business was relatively flat. For fiscal year 2013, we still expect the impact from the sequestration and the planned reduction of forces in Afghanistan to have an impact on our Technology Development business overall. Exponent had notable performances in our electrical, thermal sciences, biomedical engineering, human factors and engineering management and construction consulting practices. We are pleased with the demand for both reactive and proactive services across many industries. In the utility industry, we are investigating pipeline failures and helping improve the integrity management process. In the consumer electronics industry, we are testifying in intellectual property cases and evaluating new designs. In the medical device industry, we're evaluating claims of product defect and testing new product reliability. And in the oil and gas industry, we are assessing environmental and health exposures and analyzing new drilling technologies. As we look to the remainder of 2013, we remain optimistic about our business and believe we can continue to expand our unique market position in assessing the reliability, safety, human health and environmental issues of increasingly complex technologies, products and processes. I will now turn the call over to Rich for a detailed description of our first quarter financial performance.
Richard L. Schlenker: Thanks, Paul. We are pleased to have delivered better-than-expected results for the first quarter of 2013. Revenues before reimbursements, or net revenues as I will refer to them from here on, were $69 million, up 4% from $66.5 million 1 year ago. Total revenues for the quarter were $72.7 million as compared to $71.9 million in the same period in 2012. Net income for the first quarter was $8 million or $0.56 per share as compared to $8.2 million or $0.57 per share reported 1 year ago. Our diluted share count decreased to 14.1 million from 14.4 million in the same period last year as a result of our active share repurchase program. EBITDA for the first quarter was $14.6 million as compared to $14.8 million in the same period of 2012. EBITDA margin, on a percentage of net revenue basis, was 21.2% as compared to 22.3% in the first quarter of 2012. In our Defense Technology Development business, net revenues were $3.9 million. We had $200,000 in net revenues from product sales in the quarter as compared to $900,000 in the first quarter of 2012. As Paul discussed, our consulting services in defense remained pretty flat, but we continued to be appropriately cautious about the pipeline of activity given the defense budget cuts and the plan to reduce troops in Afghanistan. At this time, we are not aware of any additional product sales orders. Utilization in the first quarter was 72% as compared to 74% in the first quarter of 2012. We now expect our full year utilization to be 69% to 70%. We expect quarterly utilization levels to follow our typical seasonality, which is to step down each quarter from the first quarter through the fourth quarter due to more vacations and holidays. For the first quarter, billable hours increased 1% over the same period 1 year ago to 265,000. This incorporates a year-over-year FTE or full-time equivalent increase of 3% to 708. We also realized a 2.5% to 3% bill rate increase year-over-year. The percentages I will refer to hereafter will be on a percentage of net revenue basis. For the first quarter, compensation expense after adjusting for gains and losses in deferred compensation increased 4% to $46.5 million. This is a result of a 3% increase in full-time equivalent employees. As a reminder, our annual raises occur in April and are typically at or below our average billing rate increase. Included in total compensation expense is a gain in deferred compensation of $2.1 million. Gains and losses in deferred compensation are offset in miscellaneous income and have no impact on the bottom line. Stock compensation expense in the first quarter was $5.3 million, and we expect stock-based compensation for the full year to be approximately $12.5 million to $13 million. Other operating expenses in the first quarter increased to $6.1 million as compared to $5.6 million in the same period last year. Depreciation was $1.1 million and is included in other operating expense. We expect 2013 total operating expenses to be in the range of $6.1 million to $6.6 million per quarter. G&A expenses in the quarter were $3.4 million as compared to $2.9 million in the same quarter 1 year ago. We expect 2013 G&A expenses to be in the range of $3.4 million to $4 million per quarter. Interest income for the quarter was $45,000. Our income tax rate in the quarter was 40.9%, up from 40.3% in the same quarter last year. We expect 40.9% for the full year. Turning to the balance sheet. Operating cash flow was a negative $5.1 million in the quarter due to the fact that we paid out our annual bonuses during the quarter. Additionally, we used $11.7 million to repurchase stock and approximately $2 million to commence our first dividend payment. Our cash and short-term investment balance was $111 million at quarter end. We still have $44.3 million authorized and available for repurchases under our current repurchase program and announced our second quarterly dividend payment today. Capital expenditures in the first quarter were $2 million, which is higher than usual due to a few tenant improvement projects in the first quarter. DSOs were 97 days. In summary, the first quarter was a solid start to the fiscal year. Looking forward, we still expect 2013 revenues before reimbursement to be approximately flat with 2012. We are improving our 2013 outlook for EBITDA margin by 25 basis points, which means we expect it to be down by 225 to 275 basis points as compared to 2012. With that, I will turn the call back to Paul for closing remarks.
Paul R. Johnston: Thank you, Rich. In summary, we are pleased with the level of activity we saw in February and March after a slow start in the quarter. We remain focused on finding new business to replace the declining revenues from a few major assignments in defense work. Our top financial priorities will be generating substantial cash flow from operations, maintaining a strong balance sheet and enhancing shareholder value through stock repurchases and dividends. Now I will turn the call over to the operator for your questions.
Operator: [Operator Instructions] And our first question comes from the line of Tim McHugh from William Blair & Company.
Timothy McHugh - William Blair & Company L.L.C., Research Division: I just want to ask for a little more color on your comment about the follow-on work on the large projects that was talked about before. Does it change your view of those projects winding down this year? And, I guess, what's the length of the follow-on work? I guess, just in general, trying to get a sense of the headwind now that we should expect and how it's different from what you thought before for this year.
Paul R. Johnston: Yes, I don't -- Tim, thanks. I don't think that it changes our overall outlook for the year. I think, as we sort of described before on these major projects, they kind of even when they're on their way down, there was kind of bumps in the road and they kind of kick up for a while and kick down. I don't want to get into the details of exactly what we're doing on those projects. But I think I can probably give you a little bit of a feel based on some prior major assignments. I think we've talked about, for example, when we were working on the Exxon Valdez and you'd be ticking along and all of a sudden, there'll be a new piece of study work that needed to be done and you'd go and you do a new study, or when we've talked about the sort of the Ford Explorer issues, where there were just a sort of a series of other rollover cases and that, that kind of went up and down. You can imagine, we've got 2 of our major assignments there, some similarities to those situations. So we described how January was really, quite frankly, very unusually slow for us. And so, for example, on the major assignments, it was kind of low point, but a few things kicked in then, which gave us a little bit of a bump up. But I don't think it's changed our overall view for the year.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Then, I guess, if January was unusually slow, I mean, I get, given that the quarter came in better-than-expected, I mean, was there anything, in particular, you saw in February and March that, I guess, conversely, would have made them better than usual months for you?
Paul R. Johnston: Yes, a couple of things, Tim. I mean, the first thing I would say is yes, January was unusually slow, but that was baked into our description of how we thought the quarter would go because it was -- we'd already gone through January when we were making our year end comments. So that was sort of already there. It's just -- I mean, I think we talked about last time how it was a little bit of an unusual January and even just the formation of when the holidays occurred, with sort of the Tuesday being New Year's Day and sort of more people being out that week and the schools being out that week. And I think we felt it not only from the standpoint that we didn't have, we had more sort of vacation days here and so forth, but I think we also sort of felt like there just wasn't the new flow of work coming in and maybe our clients were in sort of similar situations or something. But we just ended up having a strong utilization in February and March, which made us feel we had sort of solid utilization for the quarter. But I think that make up with a little bit of a catch-up because when we sort of look forward now, we see the sort of the forward rolling pace being more consistent with the average of the prior quarter rather than the ending point of the prior quarter.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And then just from a margin perspective, it kind of felt like this was going to be one of your tougher margin quarters, I guess, partly because of the slow start to January, which maybe wasn't as much of an issue given the second half of the quarter. But why margins still -- I know you improved your margin guidance a little bit, but why should we still think about them down as much as you're describing -- given that you're basically flat in the current quarter or down just a little bit.
Richard L. Schlenker: Yes, Tim, first of all, I think what clearly made the difference in the first quarter is the fact that utilization, instead of being what we were thinking was going to be about 69%, was 72%, and clearly, that is the key driver, that additional revenue and that additional revenue coming through higher utilization. Clearly, that had a significant impact on margins. I think the -- taking all of that into account, one, it's only one quarter, and two, when we've looked at what we think the utilization for the year is going to be, being in the sort of 69% to 70%, as we trend off of a let's call it 72% in the first quarter, you would expect that utilization typically is about 1% lower in the second quarter and falls another point or two in the third quarter and into the mid-60s in the fourth quarter. And when you lay that out, and that's really what we're seeing, these are -- this is where the margin is. In addition to the utilization being a couple of points here lower year-over-year for the for full year, we're also talking about $2.5 million to $3 million less in product sales in the business as well. So at this point in time, that's our best estimate. Hopefully, we'll continue to be able to find the appropriate opportunities to fill in some of the holes and continue to try to manage the cost structure along the way. But for now, this is where we felt it was appropriate.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay, Just one more follow-up to the earlier questions. Did the percentage of revenue from these large projects actually come down this quarter or because of the add-on work, do they stay at that kind of elevated level?
Richard L. Schlenker: No. They did step down. Overall, they stepped down from where they were a year ago.
Operator: And our next question comes from the line of Joseph Foresi from Janney Montgomery Scott.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: My first question, just on the pickup that you saw in February and March, was that -- just to be clear, was that associated with a longer tail to those larger projects? Or did it come from different areas that you weren't expecting? And if it did come from those different areas, maybe you could give us a little bit of color of those areas.
Paul R. Johnston: Yes. No, it was very broad based. I mean, we did, as we indicated, have some additional work or additional assignments that came in on -- related to the major cases. But I think it was really very broad based. As we sort of described before, January -- that the hole in January wasn't just from the major assignments. It was just sort of low overall in terms of work coming in. And February and March were different than that. I mean, for example, some of the proactive work in the consumer electronics area, for example, picked up very dramatically in February and March. So it was fairly broad-based, but certainly, some areas are a little bit stronger than others.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. And then just to be clear, you've since seen that -- moderate may not be the right term, but you've since seen it normalize, and do you feel like that's the run rate to be thinking about going forward, correct?
Paul R. Johnston: Yes, we think -- I mean, I think that February and March were particularly strong. And we don't -- all of our projections at the moment don't suggest that we're continuing quite at that level. We think we're continuing at the level -- again, through the seasonal adjusting, but basically, the level that represents the average of the first quarter rather than February and March of the first quarter.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. Perfect. Just -- and going back to the products business, have you had to redeploy? I think at one point you had some resources embedded in either Afghanistan and I know before that, Iraq. Are you yet to redeploy those resources? And I think we'd, in the past, could count on a level of business coming through each year in that area even if there wasn't large follow-ons. I'm just trying to get a feel for sort of what your thoughts are for the full year and if you had to move resources out of that particular vertical.
Richard L. Schlenker: Yes. Well, first of all, our activities actually still in Afghanistan. And this is relative to having these labs over there where our personnel are interacting with deployed troops in trying to help them adapt technologies very rapidly and address the changing environment over there. We still have 3 sort of key locations over there, labs that are going. This has not -- that has not stepped down really at all. There's been some transition from what I think I described a few quarters ago of a more fixed lab to mobile lab situation that the Rapid Equipping Force is putting in place with the hope that they can transition that mobile lab to other locations in the -- around the globe for future conflicts or disasters or wherever they need to provide support. But that's still -- in the current budget environment and such, we'll have to see how successful that is. It's clearly turned out to be a very valuable resource to them and we're continuing to do that. As it relates to products, that activity, yes, was a result of some spinout projects from theater, but they were really all being -- by that production of those items and such was happening back here in the U.S. in -- primarily in our Phoenix location and through outsourcing to other vendors who could get those things produced quickly and deployed. So the short of it is nothing has really changed. In the short term for Afghanistan, clearly, the production part has stepped down. That has resulted in us having, what I would call, less technician, lower-level staff in our Phoenix location. So in the first quarter, we did reduce 5, 6 plus headcounts in that area that were in the technician area, but -- production area, but otherwise, in our consulting staff area, we did not make any change in that at this time. As far as what we can see looking out, it's difficult. The clients are continuing to look for ways to continue to contract with us and do it. But clearly, we've seen contracting, funding be much tighter, shorter-term, let's call it fundings, put into contracts and as such, we've seen our pipeline of activities at a lower level than we've had in the past.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Okay. And then just the last one for me. When you talked about, in the past, large deals and their roll-off, and then we -- obviously, you can probably include a slowdown in the products business. We're about a quarter of the way through the year, could you talk a little bit about -- you had talked earlier about being able to replace that pipeline. Do you feel like you're on pace with your prior expectations of replacing it? Do you feel like you're ahead of pace given how fast February and March kind of ramped for you? I'm just trying to get a sense as we get sort of 1/4 of the way through the year, how you feel about the activity and the pace at which you can replace some of the work that's going to tail off here.
Paul R. Johnston: Yes, Joe, I mean, I think we feel actually quite good about that. I think that the first quarter, we feel like we made some good progress there. But it is just one quarter, but we do feel like the quarter was good from that perspective. And we've got clearly more work to do, but we think we're on the right track.
Richard L. Schlenker: And the only follow-up I'd say to that is we continue to feel that our business outside of some of these larger assignments in the defense area is growing in the high single digits. I think the results reflect that, considering some of the step downs we've had. We have some good activities going on, and we are seeing growth in them, and I think that's encouraging.
Operator: And our next question comes from the line of Tobey Sommer from SunTrust.
Tobey Sommer - SunTrust Robinson Humphrey, Inc., Research Division: I was wondering if you could talk about the hiring market in general, and specifically what you're experiencing in terms of boosting various aspects of software capabilities within your talent.
Paul R. Johnston: Yes, thanks, Tobey. I think that the market for hiring for us would be sort of entry-level people, which usually means people with sort of Ph.D. level joining our -- at least on the engineering side, joining our group. I think that, that market has always been available to us, but also perhaps more challenging than most people might realize because most of the people we make offers to have multiple offers. But we still get a very good yield from that. We feel like our university recruiting program has been very successful, and we continue to have a strong backlog of acceptances of people that are going to commit to the firm in a variety of areas, particularly in the engineering disciplines. So I think we feel good about that. With regard to the software area, our view is that there are a number of emerging market areas for us in computer science. We don't expect that to be, for example, software development. We don't expect to become a sort of a software house. But we are -- that being an emerging area for us, our challenges are probably more focused in looking for more senior talent. That's our normal way of operating. Tobey, when we sort of expand into newer areas, we typically need to do a lot of seeding at the top in terms of people who've got quite a bit of experience in that area and use that as a way that we gain some market and we can fill in and add more junior staff. So we have added some people in computer science, but not as much as where we ultimately think we're going to be, and we're going to be headed there.
Richard L. Schlenker: So, I mean, we're -- we've got a active engagement in continuing to both recruiting at the junior level where we can see that work, but a very focused effort in also trying to identify and attract senior people as well in this area, because we believe that the rate of growth justifies trying to do that.
Tobey Sommer - SunTrust Robinson Humphrey, Inc., Research Division: Thank you very much for the developed response. You've got the dividend in place now. I know that was probably part of a broad look at capital deployment and so forth. Could you tell us what the right level of cash on the balance sheet is? Because if you came across an acquisition that required some capital, you'd probably have access to it, given how well the business cash flow. So what are your updated thoughts there?
Richard L. Schlenker: Look, we continue to believe that, over time, that we can work the level of cash down from where it's at right now. We've talked about having that be in the, call it the $10,000 to -- somewhere in the probably $15,000 to $25,000 -- $25,000 -- I'm sorry, $10,000 to $20,000 greater than -- I'm sorry, $10 million to $20 million greater than the free cash flow. And so I think that with a repurchase program that runs in the $40 million to $50 million a year and currently a dividend that's approximately $8 million a year, I think that puts us into that range where we can begin to work the balance down. I think we, at this time, don't see a reason why we can't have a freely operating -- a free operating environment if that was down in the $50 million range. Sure, could it be lower with access to debt? Absolutely. But at this time, we're viewing that we will work down into that approximately $50 million to $70 million of cash on the balance sheet over the next 4 or 5 years. And then we will adjust from there forward.
Operator: [Operator Instructions] Our next question comes from the line of David Gold with Sidoti & Company.
David Gold - Sidoti & Company, LLC: Just looking to get just a tiny bit more color. I know you both have tried to hit on a couple of different ways. But basically, when I think about have the first quarter laid off -- turned out, project tail-off work versus follow-on work versus traditional -- more traditional replacement work, similar to what you've been looking for. What -- from the outside looking in it's hard to get a sense for sort of what the buckets were. Is that something you could give us a better sense of?
Paul R. Johnston: David, it's pretty difficult to give more of a sense, I think, than we've tried to give. I think that the challenge for us is that -- in part, is that January was in fact so unusual for us, that it made it sort of a little bit difficult to really dissect what happened there and why workflow was the way it was. Because I mean January is generally a good month for us. So it was kind of a bit of a struggle. I mean, I think the best way of thinking about it, though, maybe the most helpful way, is go back to kind of a comment that Rich made, which is if you think about our -- what we see as the growth of our underlying business, leave aside the defense work and the major projects, we feel that that's growing at the high single-digit area. And so I think that, that's -- so if you look at sort of a 4% growth in the quarter and you think that, that's how much that the underlying business is growing, then the difference of that is kind of what the falloff you might say is in the major assignments and the defense work. So that would be, I think, maybe one way of trying to look at it, trying to get a little bit of a handle on it.
David Gold - Sidoti & Company, LLC: Got you. Got you. Well, I guess part of what I was trying to get more of a sense for was, I mean, it sounds like some of the -- the follow-on work is maybe more a little bit more episodic, so to speak, and so...
Paul R. Johnston: That's correct, that's correct.
David Gold - Sidoti & Company, LLC: So that's where -- I thought if we could get a sense it, it would prevent us from, say, modeling incorrectly on that.
Paul R. Johnston: Well, I mean, it is more episodical. In other words, I think that there is just other matters that aren't necessarily going to continue for a long period of time that come, but there is more than one of those that come. There are just -- there are other cases that are not the same original assignment, but they're related.
David Gold - Sidoti & Company, LLC: Got you. Got you. So okay. And then I think you mentioned that you sort of think about the first quarter as maybe the average of the quarter versus the February and March levels. Sitting where you are and obviously, April is not done yet, but is that pretty consistent with what you saw in those first couple of weeks?
Richard L. Schlenker: Yes. It's consistent with what we saw in the first couple of weeks. It's also consistent with the feedback that we have gotten from each of our practice areas as we pull that together in trying to make our assessment of what the quarter will be like. So those 2 things are consistent -- are 2 points of information that we utilize at this point in time.
David Gold - Sidoti & Company, LLC: Got you. Got you. Okay, just one other minor -- I guess when we think about sort of bridging the prior guidance to now basically, I guess what we know is that February and March were better than expected. Yet, we're still holding to the flat top line. Anything sort of pulled forward there or what's sort of the thinking?
Richard L. Schlenker: Yes, I don't -- sure, it can be a little bit. But really, I think our feeling is where we were before was approximately flat, which meant it could be a little bit below, it could be a little bit above, but it was around that number. What I think we did in looking at the information we have about the second quarter and our best view out beyond that, which becomes more fuzzy, is that based on that, we didn't feel that if we could get a number that moved us into the low-single-digits. Is there a little bit more confidence around flat? Yes. But I think it didn't allow us to raise that up into the low-single-digits.
David Gold - Sidoti & Company, LLC: Got you. Got you. Okay, and just one last. Did you have a number of the shares that were repurchased so we could see what the average price was or an average price was?
Richard L. Schlenker: Yes, they were -- just 1 second. Yes, it was about 229,000, 230,000 shares, so -- at an average price of $50.89.
Operator: And at this time, I am showing no further questions in my queue. Ladies and gentlemen, this does conclude our conference for today. If you would like to listen to a replay of today's conference, you may do so by dialing (303) 590-3030 or 1 (800) 406-7325 and entering the access code of 4613643#. We thank you for your participation. And at this time, you may now disconnect.